Operator: Good day, ladies and gentlemen, and welcome to the Q4 2016 Cummins Inc. Earnings Conference Call. [Operator Instructions]
 I would now like to turn the call over to Mark Smith, Vice President, Finance, Operations. Please go ahead. 
Mark Smith: Thank you, and good morning, everyone, and welcome to our teleconference today to discuss Cummins results for the fourth quarter of 2016. 
 Joining me today are our Chairman and Chief Executive Officer, Tom Linebarger; our Chief Financial Officer, Pat Ward; and our President and Chief Operating Officer, Rich Freeland.
 Before we start, please note that some of the information you will hear or be given today will consist of forward-looking statements within the meaning of the Securities and Exchange Act of 1934.
 Such statements express our forecasts, expectations, hopes, beliefs and intentions on strategies regarding the future.
 Our actual future results could differ materially from those projected in such forward-looking statements because of a number of risks and uncertainties.
 More information regarding such risks and uncertainties is available in the forward-looking disclosure statement in the slide deck and our filings with the SEC, particularly the Risk Factors section of our most recently filed annual report on Form 10-K and any subsequently filed quarterly reports on Form 10-Q.
 During the course of this call, we will be discussing certain non-GAAP financial measures, and we'll refer you to our website for the reconciliation of those measures to GAAP financial measures.
 Our press release, with a copy of the financial statements and today's presentation, are available on our website at cummins.com under the heading Investors and Media.
 Now I'll turn it over to Tom. 
N. Linebarger: Thank you, Mark, for that inspiring introduction. Good morning, everybody. I'll start with a summary of our fourth quarter and full year results and finish with a discussion of our outlook for 2017. Pat will then take you through more details of both our fourth quarter financial performance and our forecast for this year. 
 Our references to EBIT and EBIT percent exclude restructuring and impairment charges taken in the fourth quarter of 2015. 
 Revenues for the fourth quarter of 2016 were $4.5 billion, a decrease of 6% compared to the fourth quarter of 2015. EBIT was $526 million or 11.7% compared to $531 million or 11.1% a year ago. 
 EBIT increased as a percentage of sales as the benefits of our cost-reduction actions and the absence of a loss contingency charge recorded in the fourth quarter of 2015 more than offset the impact of weaker volume. 
 For the full year, Cummins sales were $17.5 billion, down 8% year-over-year. Our EBIT margin was 11.4%, down from 12.5% in 2015. Our decremental EBIT margin for the year was 24%, consistent with our plan even after absorbing $138 million additional accrual for the loss contingency. 
 This solid performance reflects strong execution of our restructuring plan, material cost-reduction programs and quality improvements that helped mitigate the impact of lower volumes in very weak markets. 
 Engine business sales declined by 10% in 2016 due to weaker production of medium- and heavy-duty trucks and softer demand for construction equipment in North America. EBIT was 8.8% compared to 9.9% in 2015 due to the impact of weaker revenues and the increased accrual for the loss contingency in 2016. 
 Sales for our Distribution segment declined by 1% as weaker sales to off-highway markets and the negative impact of a stronger U.S. dollar offset growth from acquisitions. In the fourth quarter of 2016, we completed the acquisition of our last remaining distributor joint venture in North America, bringing the total number of acquisitions to 13 since we announced our plan in September 2013. 
 Full year EBIT was 6.3% compared to 7% in 2015 due to weaker organic sales and the negative impact of currency. Full year revenues for the Components segment decreased by 6% as weaker truck demand in North America more than offset strong growth in China. EBIT was 13.3% compared to 14.5% in 2015, mainly due to the impact of lower sales. EBIT in the fourth quarter was 11.9% as we incurred additional costs associated with the launch of our new Single Module aftertreatment system in North America. 
 We do expect to continue to incur additional costs through the first half of 2017 as we resolve startup issues in our production supply chain for this important new product. 
 Power Systems sales declined by 14% in 2016, with weak demand in most major geographies and end markets. EBIT was 7.5% compared to 8.9% in 2015 as the impact of lower sales more than offset a 17% reduction in operating expenses achieved through restructuring and other cost-reduction activities. 
 We continue to make good progress with our plans to exit our U.K. generator set manufacturing plant in Kent, with high-horsepower generator set assembly now transferred to our Daventry engine plant. By the end of 2017, we will complete the transfer of the remaining wide variety of small generators currently produced in Kent to existing locations in China and India. These actions will position the business for further cost reduction in 2018. 
 Now I will comment on some of our key markets in 2016 starting with North America, and then I will comment on some of our largest international markets. Our revenues in North America declined 12% in 2016, primarily due to lower engine and components sales to North American heavy- and medium-duty truck market. Industry production of North American heavy-duty trucks declined to 201,000 units, a decrease of 31% from 2015 levels. Our market share clearly improved in the second half of 2016 and exceeded 31% for the full year but was down from 33% in 2015. 2016 marked the 10th straight year that customers have selected Cummins as the leading engine supplier to the heavy-duty truck market. 
 The market size for medium-duty trucks was 108,000 units in 2016, a decline of 13% from 2015. We remain the clear leading engine manufacturer in the medium-duty truck market with full year market share of 75%, down slightly from 78% a year ago. 2016 marked another strong year for pickup truck sales in North America, and we shipped 131,000 engines to Chrysler, slightly ahead of 2015 volumes and sold 19,000 units to Nissan in our first full year of production. 
 Engine sales to construction customers in North America declined 15% in 2016 as the market faced an overhang of equipment inventory and it drove OEMs to cut production. Engine shipments to high-horsepower markets in North America declined by 14% year-over-year, reflecting weaker demand in all end markets. 
 Revenues for Power Generation decreased by 4%, driven by lower sales to rental companies as they cut back their capital expenditures. Our international revenues declined 2% in 2016. Our full year revenues in China, including joint ventures, were $3.5 billion, an increase of 6%, as some end markets rebounded from weak levels in 2015. 
 Industry demand for medium- and heavy-duty trucks in China increased by 28% for the full year as the OEMs increased production, partially driven by new regulations aimed at combating vehicle overloading. Our market share in 2016 was 15%, down from 16% in 2015 as our partner, Dongfeng, lost share in the face of very competitive pricing in the industry. Sales of our ISG heavy-duty engine grew in line with the market. 
 Shipments of our light-duty engines in China increased by 14% while the overall market declined 1% as Foton continue to increase the proportion of its trucks powered by our joint venture engine, displacing local competitor engine. Our full year share in the light-duty truck market exceeded 7% in 2016, up 90 basis points. 
 Earnings at our Foton-Cummins joint ventures declined in 2016 while volumes increased. During the fourth quarter, we initiated actions to improve the performance and reliability of our ISG engine in some duty cycles. We incurred costs in the joint venture to make product changes and support customers. We expect the product improvements to be complete by the third quarter of this year and expect to incur additional costs associated with these actions until the actions are complete, albeit at a lower level than experienced in the fourth quarter of last year. 
 Despite these issues, we remain very confident that the ISG is a game changing-engine for the Chinese truck market, and customer demand for this engine remains strong. 
 Demand for construction equipment in China improved, with sales of excavators rising 19% in 2016. This marks the first annual increase in demand for excavators since 2011, but demand remains well below historical levels. 
 Our construction engine volumes increased by 40% as excavator demand increased and we picked up share in wheel loaders. Revenues for our Power Generation -- Power Systems business, excuse me, in China declined by 17% due to continued weakness in power generation, marine and mining markets. 
 Full year revenues in India, including joint ventures, were $1.6 billion, a 7% increase over 2015. Industry truck production increased 8% to 346,000 units, and our market share remained at 41% for 2016, with nearly 80% of Tata Motors trucks powered by our joint venture engines. Revenues for Power Generation increased by 2%. 
 In Brazil, our revenues decreased 19%, driven mainly by an 18% reduction in truck production in a very challenging economy. 
 Now let me provide our overall outlook for 2017 and then comment on individual regions and end markets. We are forecasting total company revenues for 2017 to be flat to down 5% from 2016. We expect market conditions to continue to be challenging in 2017, especially in the first quarter. Industry production for heavy-duty trucks in North America is projected to be 178,000 units in 2017, an 11% decrease year-over-year. We expect our market share to be between 29% and 32%. 
 In the medium-duty truck market, we expect the market size to be 108,000 units, flat compared to 2016. We project our market share to be in the range of 73% to 75%. 
 Our engine shipments for pickup trucks in North America are expected to be flat compared to a strong 2016. 
 In China, we expect domestic revenues, including joint ventures, to be up 3% in 2017. We currently project flat demand in light-, medium- and heavy-duty truck markets. We expect our market share in the medium- and heavy-duty truck market to be at least 15%, flat with 2016. In light duty, we expect our share to grow to 8%, up from 7%. We currently project 5% growth in off-highway markets in China. 
 In India, we expect total revenues, including joint ventures, to decline 5%, mainly due to weaker truck demand driven by the transition to Bharat Stage IV emission standards starting in April. Bharat Stage IV is the first major countrywide emissions change in the Indian truck market involving the introduction of aftertreatment systems. And as a result, it's hard to predict the impact on truck demand post implementation. 
 Truck dealers do appear to be well-stocked with new trucks, and we anticipate that any end user prebuy activity will likely be met with current truck inventories and without a significant increase in production in the first quarter. We do expect demand to drop off after the implementation of the new regulations, and we have factored in a decline in industry production of between 10% and 20% for the full year into our forecast. 
 We currently expect growth of 5% in off-highway markets in India. Demand in off-highway markets was growing at a faster rate in the first half of 2016, but the pace of economic growth has slowed following the introduction of the government's demonetization policy. We're optimistic that the government's focus on improving infrastructure will support growth in both our on- and off-highway businesses in the coming years. 
 In Brazil, we expect truck production to be flat in 2017. Demand is at very low levels. And while we are optimistic that the next move in production will be up, there's no clear catalyst for sustained improvement in the near term. 
 We expect our global high-horsepower engine shipments to be flat in 2017. We expect a modest improvement in new engine orders from mining consumers while demand in marine markets remains very weak. Orders for new engines for oil and gas applications in North America also remain very low, although demand for rebuilds of existing engines has increased. 
 In summary, we expect full year sales to be flat to down 5% due mainly to a weaker truck production in North America. We expect EBIT to be in a range of 11% to 11.5% of sales, with performance expected to be weakest in the first quarter. 
 Through our cost-reduction initiatives and focus on operational improvements, we have effectively managed through a multiyear decline in some of our largest markets and delivered EBIT margins well above prior troughs. 
 We have continued to invest in new products in our Distribution network that position us to drive profitable growth when end markets do improve. Demand in most of our key markets remains below replacement levels. Having said that, for the first time in a number of years, there are some early signs that point towards improvement in 2018. 
 In addition to our strong focus on operational improvements, we have also continued to return cash to shareholders. We returned 75% of operational cash flow to shareholders in 2016, and we'll return at least 50% in 2017 through dividends and share repurchases. 
 Finally, we continue to make progress in advancing our strategy as we outlined in the last Analyst Day. And although I have nothing to announce today, we are optimistic that we will continue to make progress in executing our plans. 
 Now let me turn it over to Pat. 
Patrick Ward: Thank you, Tom, and good morning, everyone. I will start with a review of the full year 2016 financial results before moving on to our fourth quarter performance. All comparisons in the full year and the fourth quarter of 2015 for the company and for each of the operating segments will exclude the charges for impairment and restructuring actions that we took in the fourth quarter of 2015. 
 Full year revenues for the company were $17.5 billion, a decrease of 8% compared to the prior year. And as Tom just described, declines in commercial truck production in North America and the lowest level of demand for high-horsepower industrial engines and power generation equipment in more than a decade led to the overall revenue decrease. 
 Negative currency movements against the U.S. dollar reduced our sales by approximately 2%. North American revenues declined 12% in 2016 and represented 58% of our total revenues, down from 61% in 2015. 
 International revenues declined by 2% compared to the previous year, mainly due to foreign currency movements. Excluding the impact of the currency movements, international revenues grew almost 3%, with growth in China and in India being offset by weaker demand in Latin America, the Middle East and in Africa. 
 Gross margins were 25.4% of sales and are 50 basis points lower than last year. Material cost reductions and the benefits from restructuring actions taken in the fourth quarter of 2015 offset most of the negative impact from lower volumes and an unfavorable product mix. 
 Selling, admin and research and development costs were up 50 basis points as a percent of sales. They decreased by $145 million in the year due to savings from previous restructuring actions, which were partially offset by added expense through distributor acquisitions. 
 Joint venture income decreased by $14 million compared to last year due to the acquisition of the North American distributors and lower earnings from the joint ventures in China. Other income expense improved by $50 million, primarily due to the change in the cash surrender value on corporate-owned life insurance plans, gains recorded on the divestiture of a power system joint venture and an increase in royalty income. 
 In total, earnings before interest and tax, or EBIT, was 11.4% of sales in 2016, down from 12.5% of sales that we reported in the previous year. The decremental EBIT margin was 24% for the full year. EBIT for 2016 and 2015 included charges for a loss contingency of $138 million and $60 million, respectively, as we previously reported. 
 Net income was $1.4 billion or $8.23 per share. This compares to $1.6 billion or $8.93 per share in the previous year. 
 The operating tax rate for the full year was 24.6% compared to 27.4% in 2015 due to changes in geographic mix of earnings. 
 Now let me comment specifically on the fourth quarter and provide some more details on our performance. Fourth quarter revenues were $4.5 billion, a decrease of 6% from a year ago. Sales in North America, which represented 56% of our fourth quarter revenues, declined 13% from a year ago as a result of lower commercial truck production in North America and weaker demand from industrial engines and power generation equipment. 
 International sales improved by 6% compared to 2015 due to stronger demand in China and in Mexico, which more than offset the weaker conditions in the Middle East and in Africa. 
 Gross margins were 24.9% of sales, a decline of 30 basis points from a year ago. Warranty was an 80 basis point headwind due to the variable expense recorded in the fourth quarter of '15. The negative impact from the lower volumes and an unfavorable product mix were partially offset by material cost savings and the benefits from previous restructuring actions. 
 Selling, admin and research and development costs of $677 million or 15% of sales increased as a percent of sales by 60 basis points but decreased $8 million from a year ago. The benefits of previous restructuring actions offset the added expenses from the distributor acquisition.
 Joint venture income of $67 million was $8 million lower compared to a year ago. Earnings declined due to costs incurred associated with quality improvements in our Foton-Cummins joint venture in China, largely offset by earnings growth in a number of our other international joint ventures. 
 Earnings before interest and tax was $526 million or 11.7% of sales for the quarter compared to $531 million or 11.1% a year ago. Our EBIT in the fourth quarter of 2015 included a $60 million charge for the loss contingency. 
 Net earnings for the quarter were $378 million or $2.25 per diluted share compared to $2.02 from a year ago, and the effective tax rate for the quarter was 22%. 
 Moving on to the operating segments, let me summarize their performance in the quarter and for the full year 2016 and then provide a forecast for 2017. I will then review the full year cash flow and conclude with the company's revenue and profitability expectations for the upcoming year. 
 In the Engine segment, revenues were $2 billion in the fourth quarter, a decrease of 6% from last year. On-highway revenues declined by 9% overall, with lower heavy and medium-duty truck engines sales in North America being partially offset by increased sales in bus and pickup markets. 
 Off-highway revenues increased 8%, primarily due to higher construction sales in all regions except in Latin America. 
 Segment EBIT in the quarter was $194 million or 9.9% of sales, an increase compared to the 7.6% that we reported a year ago. EBIT in the fourth quarter of 2015 did include the $60 million charge for the loss contingency. In addition, benefits from restructuring and material cost reduction helped mitigate the impact of lower volumes in the quarter. 
 For the full year, revenues decreased by 10% from a year ago, and earnings before interest and taxes declined from 9.9% to 8.8% of sales. 
 For the Engine segment in 2017, we expect the revenues to be down by 3% to 6% due to weaker demand in North America, and EBIT margins to be in a range of 9.5% to 10.5% of sales. 
 For the Distribution segment, fourth quarter revenues were $1.7 billion, which decreased 2% compared to last year. The decrease was the result of a 6% decline in organic sales and a 1% unfavorable impact from the stronger U.S. dollar, which were partially offset by a 5% increase in revenue from the acquisition completed in the fourth quarter. 
 The EBIT margin for the fourth quarter was $122 million or 7.3% of sales, an increase from 6.5% a year ago. The increase was primarily driven by a onetime gain of $15 million for the acquisition of the last remaining unconsolidated North American distributor. 
 For 2016, full year sales for the segment declined by 1%, with a 5% organic sales decline and a 2% unfavorable impact from currency being offset by 6% growth from the acquisitions. EBIT as a percent of sales declined from 7% to 6.3%. 
 For 2017, revenue is projected to be flat to up 4%, with increased revenue from the acquisition completed in the fourth quarter of 2016 expected to add approximately $200 million or approximately 3% to the top line, which will be partially offset by the negative impact of foreign currency. And we expect EBIT margins to be in the range of 6% to 6.75% of sales. 
 For the Components segment, revenues were $1.2 billion in the quarter, a decline of 5% from a year ago. Sales in North America declined 16% due to lower industry truck production, while international sales increased by 13%, primarily due to a 66% increase in our sales in China. Segment EBIT was $140 million or 11.9% of sales compared to $175 million or 14.2% of sales a year ago. 
 In addition to the impact of the lower volumes, warranty costs were higher against a very tough comparison a year ago, and we also experienced higher-than-expected startup costs associated with the transition to our new Single Module aftertreatment system, which are likely to persist through the first half of 2017. 
 For the full year, revenues were 6% lower than in 2015. Sales in North America were down 14%, partially offset by very strong growth in China. EBIT as a percent of sales decreased from 14.5% in 2015 to 13.3% of sales in 2016. 
 For 2017, we expect revenue to decline by 2% to 6% as a result of weaker demand in North America, and EBIT is projected to be in the range of 11% to 12% of sales. 
 In the Power Systems segment, fourth quarter revenues were $932 million, down 5% from a year ago. Sales of Power Generation equipment declined 7% compared to a year ago while industrial engines revenues were down 4%, primarily due to weaker marine and mining engine sales compared to last year. 
 EBIT margins were 7.3% in the quarter, up from the 6% we reported last year. Lower volumes and an unfavorable product mix and the project cost overrun in the U.K. were more than offset by the benefits from cost reductions, favorable currency impacts and the gains recorded on the sale of some assets. 
 For the full year, Power Systems revenue declined 14% from 2015, and EBIT margins declined from 8.9% to 7.5% of sales. The focus on cost reduction is key to holding decremental margins in the segment to 18% despite a significant drop in revenue. 
 For 2017, we expect Power Systems segment revenues to be flat to down 4%. EBIT margins are expected to be between 7% and 8% of sales, which is relatively similar to 2016, given no significant improvement in our end markets. 
 And as Tom discussed, we are on track to complete the exit of manufacturing from our site in Kent in the United Kingdom, which will yield net savings in 2018. 
 Turning to cash flow. Cash generated from operations for the full year was just over $1.9 billion. We anticipate operating cash flow for 2017 will be within our long-term guidance range of 10% to 15% of sales. 
 We lowered our capital expenditures by more than $200 million to $531 million in 2016, and we expect that our 2017 investments will be in the range of $500 million to $530 million. 
 Last year, we returned $1.5 billion to shareholders or 75% of operating cash flow. We repurchased 7.3 million shares, and we increased our dividend by 5%. For 2017, we plan to return at least 50% of operating cash flow to shareholders, in line with our long-term commitment. 
 As Tom described, the majority of our businesses have experienced multiyear declines in demand. We are forecasting company revenues to be flat to down 5% this year, primarily driven by the lower demand in the North American heavy-duty truck market and modest declines in power generation and off-highway markets. Foreign currency headwinds are expected to reduce our revenues by approximately $200 million. 
 We expect EBIT margins to be between 11% and 11.5% of sales this year. We do face lower volumes again in 2017, which will negatively impact our margins, especially in the first half of the year. We remain focused on cost reduction, with improvements in material costs, plant productivity and the quality of our current products helping to offset the impact of the lower volumes, cost inflation of some commodities and increased variable compensation, merit and pension expense. 
 We do expect EBIT margins in the first quarter will be at the low point for the year and below fourth quarter 2016 levels on lower sales. Income from our joint ventures is expected to decline by approximately 8% in 2017, primarily due to the acquisition of the last remaining North American joint venture distributor. We expect our effective tax rate to be 26% this year. 
 As we outlined in our Analyst Day back in November of 2015, we expected a period of weaker demand ahead of us. We have managed effectively through this decline in sales so far and have taken actions necessary to improve our cost structure while continuing to invest in new products and services that will help drive profitable growth when the markets improve and continuing to return value to our shareholders. 
 Now let me turn it back over to Mark. 
Mark Smith: Thank you, Pat, and we're now ready to move to the Q&A section. 
Operator: [Operator Instructions] Our first question comes from Tim Thein with Citigroup. 
Timothy Thein: First, maybe, Tom, for you. I'm just curious maybe with respect to the kind of the tone of your conversations here and with North American customers and distributors just given what's transpired here over the last, say, 90 days or so. Just curious with respect to their overall set -- tone regarding underlying investment and just kind of a broader question. Just curious if you can address maybe what -- if there's any meaningful change in terms of their attitude. 
N. Linebarger: Thanks, Tim. Let me just say at a high level, as I mentioned in my remarks, our markets are at historically-low levels. We're way below replacement in nearly all of our major markets, and you heard our forecast for the numbers for North American truck. It's really weak, and that's clearly a big headwind going into 2017. And we've been sprinting for quite a few years now to keep costs under control. In fact, improve productivity and cost in all of our facilities and still be able to invest to make sure that we can grow faster than the market when things improve. So we feel like 2017 is one of those years. On the other hand, as you also heard me say, it looks like the move, next move in many of those markets is likely to be up, which I don't think we've been able to say until now. And that -- again, we're planning conservatively. We are, this year, we are assuming that we're going to get very little benefit from any of that. We are planning our costs accordingly, et cetera, but there are some good signs. I think Rich is a little closer to the -- what OEMs are saying in North America. So I'll probably ask Rich to talk a little bit about the truck market specifically and then what other signs that you're seeing, Rich. 
Richard Freeland: Okay. Thanks, Tom. Yes, we're hearing as I talk to fleets, more and more people talking about getting back to replacement levels, where they kind of sat out a years, their mileage was lower, and so that tends to be a common theme, not in every fleet but often. The data -- pre data looks good or at least improving a bit. Dealer inventory looks at a pretty good level. And in fact, there's room to grow the dealer inventory, which we haven't been able to say. And I think the big overhang is just used truck values are still a bit of an issue, but generally, pretty positive on the next move up. We've had 3 months in a row where the production has been less than orders. So the backlog is growing. Again, the future order board is growing for OEMs, and we're already starting to see as those order boards were getting filled out, people are increasing orders. I think maybe in some of the off-highway, I'll do quickly, but oil and gas, we actually are starting, not engine orders, we're seeing a lot of activity in the parts side. The rebuild is coming back in. And I think we mentioned in the comments, the mining business, again, I think the next move will be up there, again, a little bit. It started with parts, which is normal for us, starting to see some improvement there. So generally, I guess, positive. A couple we talked about maybe down would be India truck market, and the marine business does not look like -- that's one we'd say, we don't see that recovery coming yet. 
N. Linebarger: So hopefully that helps, Tim. Sentiment, good; orders, low. 
Timothy Thein: Yes, understood, okay. And just back on Rich's comments on part -- on off-highway parts, maybe a little bit more color on Distribution. It sounds like within that flat to up 4% -- up 3% contribution from the last acquisition. So just maybe a little bit more color in terms of -- I would have thought you would -- the outlook there would have been a little bit more positive. So maybe just some more color on specific drivers within Distribution. 
Mark Smith: Tim, it's Mark. We are expecting some growth in parts. The one market where we're seeing continued weakness globally is really Power Generation. So that's what's kind of tempering the outlook in the near term. 
Richard Freeland: Well, target range [ph] in sales is generally through the Distribution business, and I think we're looking at that being down again this year, I think 3% to 4%, something like that. 
Operator: Our next question comes from Jamie Cook with Crédit Suisse. 
Jamie Cook: I guess, 2 questions. One, on the guidance, then the second, more strategic one. If you look at your engine sales in the margins and implied decrementals, the decremental seemed normal. But then if you back out the charges that we had in '16, the implied decrementals, I think, are in the mid to high 30s, which seems -- it seems like it should be better than that. So I'm just wondering if I'm missing something, if you could explain that. And then my second question, Tom, relates more to you. If you look at the past 3 quarters, the repos really falling off, we're not really doing much. So are we -- can you give us an update on sort of where we are? Are we closer to doing a deal? And I guess, as I also think about how you're thinking about the company going forward, I always thought maybe you'd potentially just acquire a business, but I never really thought about whether the parts of the business that don't make sense for Cummins to be in anymore and if so, why would that be? Is it for because you want to do a larger deal for cash because certain businesses aren't generating the proper returns? So I guess those 2, and if you could help [indiscernible] 
Patrick Ward: Jamie, I'll take the first one, and then Tom can take the second one. So on decrementals, let me kind of give you a high-level dredge for the company. It really applies to the Engine segment as much as the company. So if you start from the 11.4% of EBIT that we reported in 2016, we do have headwinds coming through in the form of the lower volume, the unfavorable mix and some of those launch costs that we're talking about with our new products. That's about 70 basis points of a headwind between those 3. We do have higher inflation cost in terms of people costs in 2017, and they're coming through in the form of higher pension expense given the lower discount rates, higher variable compensation in 2016 and then merit increases, so -- and people cost inflation. That's about 120 basis points year-over-year. And then we had some onetime gains in 2016 over about [ph] 30 basis points, and they came through in the form of some of that fair market value gains in Distribution and the gain on sale of the Power Generation asset in the fourth quarter. Offsetting most of that are cost reductions really coming through material costs. We're looking at 80 basis points this year. That's down from 150 basis points last year really given the swing in metal markets. We had 50 basis points of improvement last year in metal markets, 20 basis points negative this year. So net, 80 basis points on cost reduction. The loss contingency that we pointed out is worth 80 basis points. And then pricing, we're thinking some modest pricing improvements that would add around 30 basis points. So when you net all that together, that leaves us somewhere in the midpoint between 11% and 11.5% of sales. 
Jamie Cook: Okay. That's helpful. On the M&A front, any potential for divestitures? 
N. Linebarger: Yes. So let me first just talk about the repurchase of shares. We have continued with our plans on repurchased shares. As you know, we set a goal at the beginning of the year. We drive that program to achieve that goal. We have guidelines that we run with the board about price ranges that we're acquiring in, and we try to make sure that we stay within that, and we run programs through the year. So when you see differences in repurchased shares by quarter, that's more to do with just when we're taking the actions and more the mechanics of it than it is to do with where we've lost interest. We're still hitting our targets for the year of how much we want to repurchase, and so that wouldn't change our strategy at all on that. That's continuing. And then secondly, with regard to the acquisition front, as I mentioned, we are actively working on those strategy areas that we talked about in the Investor Conference, and I'm feeling like we're making good progress. And as I've said before, the problem with describing progress in this publicly is until I have something to announce, I can't announce anything, which is very frustrating to you and other investors I know and frustrating to me, too. But again, all I can do is share my sentiment, I think, at this point, which is I feel like we're making good progress, which means that I think we'll be able to add to our growth platforms at -- within our very tight constraints about making sure they're strategically good and also helps investors with returns over the medium and long run, if not the short run as well. And then last thing, you asked about divestitures. And as we described in the Investor Conference, we review our portfolio of businesses every year. And often times, that review doesn't yield very much. And sometimes, it makes us think more. But always, what we're looking at is what are the businesses that we have, and we have a 3-part criteria. One is, are they a strategic fit? Meaning, are we able to create more value with that business because we're the owner, because of the things that it links with and the competencies that we share across the business? Two, is it meeting our return guidelines? Or do we know, through management action, how to get it to that place? And three, is there some way that we can potentially add to our growth platforms or otherwise by reconstituting that business in some way? So we're pretty active at reviewing that portfolio, and we do it every single year. So we did it again this year, and we're always active on that and very much like the acquisition front, of course, until we are actually doing anything, there's actually nothing I can say publicly. It's bad for our employees. It's bad for everything else. So we aren't going to say anything until we do something. But again, I just want you to know, as someone who writes about us, and I want our investors to know that we always think we should evaluate our portfolio to make sure, as a management team, that we are actively managing the businesses that we're in as well as managing each one we have for success. 
Mark Smith: I'm just going to respond to your first question, Jamie. My calculation shows in the low 20s decrementals on the engine business. We can maybe follow up on that later, but those are pretty normal levels, I think. 
Operator: Our next question comes from Andrew Casey with Wells Fargo. 
Andrew Casey: A couple of kind of cleanup questions, I guess. The contingency charges, you had some in a few historical quarters, are we clear of those? Or is there some risk those could come back in 2017? 
Richard Freeland: Okay, yes, Andy. Yes, we believe we're clear of those. So the process is we booked what we think was the estimated charge, and there's been no change in that. 
Andrew Casey: Okay, Rich. And then on the Beijing Foton JV, you talked about the costs incurred to improve some productivity and other stuff. How are those going to -- first, could you quantify those in the fourth quarter, because it was pretty sharp falloff? I just want to make sure there wasn't anything else going on. And then how should we expect that JV contribution to kind of play out through 2017? Does it start out weak and then get back to where it should be through the year? 
Richard Freeland: Okay, let me take that, and Mark, if you need to correct any of my numbers, jump in. But yes, so on the ISG, we did take a charge in Q4. And to quantify it, it's roughly $25 million. And so just reminding folks where we are on this product, we remain very excited about it. In fact, our share of Foton now is over 75%. But frankly, we've run into issues in certain duty cycles as we've added more applications in certain regions where either fuel quality or service practices or things we've learned. And so we wish that wouldn't have happened. That hasn't changed our fundamental view. And so I think there will be a charge in Q1 but to a lesser degree, think of kind of half that and all that eliminated as we go into kind of Q2 and Q3 -- on the ISG. And so our strategy hasn't changed. Just like we did on the 2A, 3A, went in China with a brand-new product for the market, compete there and then take the product globally. So we've done that on the 2A and 3A. We're producing 150,000. Quite frankly, we went through a little bit of an issue on introduction as we entered new markets on the 2A and 3A inside China, but we're now selling 50,000 of those outside of China even at Euro 5 and Euro 6 levels part of our strategies. We'll do the same thing on ISG. It hasn't changed our approach. 
Mark Smith: And I would just add, we've assumed flat markets in heavy, medium and light duty in our guidance. Even in that environment, we'd expect earnings growth in light duty with projected share gains. But as Rich said, improving earnings as the year unfolds. 
Andrew Casey: Okay, Okay, great. And then lastly, a similar question that I think Tim asked with respect to North America. Could you kind of discuss what you're seeing in China at this point? You clearly indicated construction equipment's coming back. Truck had a fairly good second half to the year last year for market basis, yet you're talking about, as you just said, Mark, kind of flat markets for truck in China. What's kind of going on over there? 
Richard Freeland: Yes. So we're projecting flat although I would say our sentiment, even as weeks go by, gets a little bit more positive more than negative, Andy, on this. And there's been -- the new weight restrictions that were put in place are healthy, and so they're being enforced. So I think there are some signs of positiveness, but we just haven't -- we're staying fairly conservative on our forecast just on what the sustainability of that is. There's still some questions. I know there's some ranges. There's people who are more positive than us in the truck market right now. We're going to plan around flat. From a capacity standpoint, of course, we can flex up, and we'll beat it if it's better than. 
N. Linebarger: In the construction market, Andy, it is improving. But just remember, where we're starting from is a far, far cry from where we've seen good markets there before. So yes, we're pleased to see them move up, but it's got a long way to go. And I think it's going to be pretty gradual in its improvement, too. It's just that in the overall market, there's a lot of overhang of equipment still. There's still a lot of dealer inventory. There's a ways for the industry to go. But again, we're happy to see the improvement up. 
Mark Smith: Yes, there's not a lot of momentum in the high-horsepower side, I would say. 
Operator: Our next question comes from Jerry Revich with Goldman Sachs. 
Jerry Revich: I'm wondering if you could talk about your updated timing of the 12-liter engine production ramp in U.S. truck. It sounds like the quality issues in China are unrelated based on the description that you laid out, Rich, but maybe you can update us on the time frame. And also, do you have new platform opportunities with Volvo now that they're exiting their 16-liter engine in the U.S.? 
Richard Freeland: Okay, yes. Jerry, yes, so first, they clearly are unrelated -- the quality issues. We're going out taking care of customers, again, kind of related to specific -- either regions or duty cycles in China. Nothing's changed on our schedule. So we'll begin some -- you'll see some trucks here late in the year. It'll be not material in 2017, but we do have agreements with multiple OEMs to begin offering it and remain very excited about it. From the question on heavy-duty on Volvo, we're exclusive on 15-liter with 2 customers with Navistar and PACCAR. And so I am pleased to say we'll now be exclusive on a third, with Volvo, with their announcement of discontinuing the 16-liter. 
Jerry Revich: And Rich, sorry, just the number of platforms that you'll be available on, can you give us just a rough flavor? 
Richard Freeland: I'll say -- at least 2. 
Jerry Revich: Okay, okay. And then coming back on the M&A discussion, you folks have been really focused on driving structurally-higher returns on capital over the course of your time leading the company. And I'm just wondering, are you signaling a longer-term focus on returns on capital, with potential to absorb lower returns near term as you build a sort of meaningful growth platform via acquisitions? Or maybe you could just talk about if you folks are changing the framework in terms of the time frame of which you're targeting the types of return on capital that you folks have generated internally. 
N. Linebarger: I'm definitely not trying to signal or change anything. We've always had a medium to long-term view on return of capital. That's never changed. As you know, we operate a cyclical company and things do go up and do go down even in our own returns on capital. We have long return cycles in our business, as a matter of course, which, of course, is frustrating and difficult to manage, frankly, but it is just the case that we have that. So I'm definitely not trying to signal anything. As we talked about when we talk about potential acquisitions, joint ventures and other partnerships is that we have high return guidelines. We believe that we serve investors well when we retain that attitude that we need to earn good returns on capital with new things we do, just like we do with existing things we do and that taking long ventures into things that don't generate a return would not be good for shareholders, and we're not going to do it. You also know that if we're going to do -- make investments in inorganic that we have to put together a plan that we think works for shareholders or it doesn't make sense. And what that means as far as short term and medium term and long term depends. We'll see when we get there. But just -- I just need you and everyone else to know that we are not backing off anything with regard to our view about generating strong returns for shareholders, and we won't as long as I'm here. I can tell you that. 
Operator: Our next question comes from Joe O'Dea with Vertical Research. 
Joseph O'Dea: Specifically on Power Gen and looking for another down year in '17, could you talk about just how depressed that business is. I think we're now looking at 5-plus years of declines -- so what the declines look like from peak. And then beyond the general macro, what signs you're looking at for conditions to start to turn there, whether it's by end markets or geographies, but where we can start to look for some hope in Power Gen given the multiyear declines that we've seen there? 
N. Linebarger: Maybe, I can start just from a high level. I would say that, as you quite rightly said, it's been a long term. We've got 5 years in a row really of very weak markets driven by low investment -- capital investment and especially in developing markets, where we have strong positions, but also nonres capital spending. So those 2 trends have been a strong negative for the business for some time. And with regard to how depressed it is, we're pretty depressed about it. I'll let Mark give you like the -- how much percentage down, but we have certainly have a lot of capacity and -- which is why we took the action we did last year, again, to restructure our capacity and try to reduce costs in a way that allowed us to ramp back up when things get -- turn up again. We still remain highly confident in the business's underlying economics as those economic drivers return. For one thing, we see that the demand for electricity in most of our -- most markets, certainly in developing countries, increasing in terms of the amount of the economy that depends on more reliable power. We also see investments in more reliable power declining as economies decline. So we still believe that in most world economies, they'll be relying on some form of grid support, either through standby generation, other more sophisticated needs for data centers, et cetera, or just in terms of straight backup power in some regions where they have much, much less reliable power. So we believe that those fundamental things are in place, but it has been a long, tough decline, and we've worked actively to try to reduce the impact of those declines, but it's been a tough run. Mark, do you want to comment on all about percentages? 
Mark Smith: Yes, you're talking about over 30% down from prior -- 5 years ago. And again, that sort of business that isn't depending on one part of the economy or on one particular cycle or down cycle. I think, as Tom said, in some cases, it's not always a lack of demand. Like in Latin America, there's a lot of demand. You've just got, in that case, a lot of customer liquidity issues that are holding back the movement of projects this year. And starting in early last year, we had the Middle East that was doing quite well and then that started to roll up. So it's just been a combination of circumstances. I would say Europe's stable. North America's stable but down a little bit. So it's really the emerging markets, as Tom said, over the last 3 years to 4 years. 
Joseph O'Dea: And then on the tax rate and looking for, I think, 26% in 2017, should we think about that as being more representative of the tax rate on a go-forward basis? Is there anything unique in 2017? But just you go back a year ago, I think you were looking for something more in kind of high 20s range. Just want to think about this on kind of a longer-term outlook and what the right tax rate is. 
Patrick Ward: Well, the only thing that's different -- There's 2 things are different in 2017 compared to what we said 12 months ago. One, we have a lower share of profits coming out of the U.S., which, as you look out, a higher tax rate today. And secondly, there has been some changes over the last few months in the U.K. and some legislation there that does impact our investment [ph] . So that's the real reason for the delta between the 24.6% that we reported for '16 and the 26% for 2017. The biggest factor is going to be the geographic mix of earnings over the long term. 
Operator: Our next question comes from David Raso with Evercore ISI. 
David Raso: My question's about the component guidance. It appears to be implying a decremental margin of 55% on a 4% revenue decline. I just want to get more color on why do you think the decrementals would be that poor. 
Richard Freeland: David, this is Rich. I'll take that. Really 2 -- fundamentally, 2 things. One is, volumes down again in North America is what we're projecting. And then two is, as was mentioned, some startup costs associated with our new Single Module aftertreatment in our aftertreatment business. And so just to remind you, we're making a really big change there, and it's not a small change in our aftertreatment. One, it's at half the size, half the weight, taking the maintenance intervals up by a factor of 2. So it's a brand-new product, and we've had some startup kind of expedited costs and all that we had in Q4. And I mentioned those will continue into Q1. So those are the 2 things that are happen -- that are really dragging that down for 2017. 
David Raso: How much are those investments? Because even if I hit you with a 30% decremental, it adds almost $0.20 to your guidance for the year. So I'm just trying to think about how big those costs are just so I can get a better feel for how reasonable the guidance is. 
Richard Freeland: Well, the aftertreatment piece of the startup, we're talking in the $20 million to $30 million range for the year, and then you know what our incremental margins are, and you've seen before as volumes come back. So if volumes come back to more normal levels, when and if that happens, then you'll see that turnaround. 
Patrick Ward: Yes. The other thing I would throw in there, David, too, if you go back to my answer to Jamie Cook earlier on, we are seeing some inflationary metal markets, which is impacting the segment, and we are seeing some impact on compensation inflation, too. So there's 2 or 3 headwinds that's impacting us in 2017. We'll figure our way through then get back to normal markets. 
Mark Smith: But you should see improvement in the second half versus the first half. 
David Raso: Yes, and not to nickel and dime you. Even with that cost on the startup, you're still implying decrementals over 40? I'm just trying to make sure -- I mean, is the inflation problems particular to components more than other segments? 
N. Linebarger: No, it's not. So again, just thinking through your view of our guidance. Again, as I've said kind of as an overview, we're taking a pretty conservative view of bad markets. And so I think the biggest opportunity we have in the Components business is that North American markets strengthen more and faster than what we have in our guidance, and you probably have a reasonable view about your opinion on that. So that would be one thing that you could take a look at if you wanted to. But again, our view is that we're going to continue to manage conservatively. We're going to continue to find ways to take costs out. So again, as you know, we are not satisfied with decremental margins of that level. We're not pleased with that. We are working hard to figure out how to make that less of an impact, but we're giving you the forecast based on what we think we understand how to do right now. We'll continue to work on decremental margins in that business. That's a very -- it's a very profitable and good business for Cummins, and we're going to continue to make it so. 
David Raso: And last quick question on the M&A conversation. How do you think about strategically off-highway versus on-highway, just all the secular issues that we're all aware of on-highway as well as some of the benefits you've built up with your Distribution acquisitions? Just how should we think about those 2 markets and how they impact your strategy? 
N. Linebarger: Yes. So on-highway, as you said, it's a bigger volume. It's -- so it tends to drive a lot of the technology, and there's -- there is -- of course, we have a very strong position on on-highway, and the fact that we lead in emissions and other technologies has helped us build a strong position there. On the other hand, as you've quite rightly said, in off-highway, there is less vertical integration, and also our Distribution is well positioned globally to serve a bunch of markets that other people can't serve. So both have important roles in our strategy. And frankly, we think one of the advantages of Cummins is we're able to put the 2 together in a way that drives synergies that most others can't. So as I think about it strategically and I think about things we might do more of, I'm thinking about both those areas and how we can continue to use the synergy between the 2 to drive more returns to shareholders than others can. 
Mark Smith: I think we're at the top of the hour. Thanks, everyone, for your questions, and Adam and I will be available for follow-up later. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. You may all disconnect. Everyone, have a great day.